Operator: Good day. And welcome to the Synaptics Second Quarter 2016 Conference Call. Today's conference is being recorded. At this time I would like to turn the conference over to Jennifer Jarman. Please go ahead, Ms. Jarman.
Jennifer Jarman - Director, The Blueshirt Group LLC: Thank you, Adam. Good afternoon and thank you for joining us today on Synaptics Second Quarter Fiscal 2016 Conference Call. This call is also being broadcast live over the Web and can be accessed from the Investor Relations section of the company's website at Synaptics.com. With me on today's call are Rick Bergman, President and CEO; and Wajid Ali, CFO. In addition to the company's GAAP results, management will also provide supplementary results on a non-GAAP basis, which excludes share-based compensation, change in contingent consideration and certain noncash or nonrecurring items. Please refer to the press release issued after market closed today for a detail reconciliation of GAAP and non-GAAP results. Additionally, we would like to remind you that during the course of this conference call, Synaptics will make forward-looking statements. Forward-looking statements give our current expectations and projections relating to our financial condition, results of operations, plans, objectives, future performance and business. Although Synaptics believes our estimates and assumptions to be reasonable, they are subject to a number of risks and uncertainties beyond our control, and may prove to be inaccurate. Synaptics cautions that actual results may differ materially from any future performance suggested in the company's forward-looking statements. We refer you to the company's current and periodic reports filed with the SEC, including the Synaptics Form 10-K for the fiscal year ended June 27, 2015, for important risk factors that could cause actual results to differ materially from those contained in any forward-looking statements. Synaptics expressly disclaims any obligation to update this forward-looking information. And with that said, I will now turn the call over to Rick Bergman. Rick?
Richard A. Bergman - President, Chief Executive Officer & Director: Thanks, Jennifer. And I'd like to welcome everyone to today's call. As you've seen from today's press release, we are resetting our guidance expectations for the fiscal year given the well-documented downturn in the macroeconomic environment, and specifically the mobile phone market, which has resulted in a deceleration of our DDIC business due to significant recent reductions in forecasts for the smartphone market. Despite these conditions, our key growth pillars remain intact as we continue to project very strong growth from our Fingerprint in TDDI solutions over the second half of the fiscal year, which will contribute to a strong performance in calendar 2016. While our fiscal year growth will slow from the levels we previously forecasted, it's important to note that our diversified product portfolio and breadth of our global customer base should provide some cover from industry gyrations and enable us to continue to deliver healthy revenue growth and solid profitability for the fiscal year. Specifically, we believe we remain on path to deliver solid revenue growth for fiscal 2016 of approximately 9% to 11%. More positively, due to the strength of our product lines and resulting near-term improvement in gross margins, along with continued discipline in managing our operating expenses, we expect to continue to manage to our target operating model. Turning to our high-level results for the second fiscal quarter, revenue of $471 million was within our guidance range, despite the weakness from major customers that materialized towards the end of the quarter. We were happy to achieve the midpoint of our EPS guidance with strong non-GAAP net income of $60 million or $1.60 per diluted share, up almost 10% year-over-year. And gross margins were slightly above the midpoint of our guidance range. I will now provide an update on our core markets. Then Wajid will review our second quarter results in more detail and provide our current outlook, before opening up the call to your questions. Since our last earnings call, we participated in two big events, our Analyst and Investor Day back in November and more recently our presence at CES, where we reinforced our ability to continue to lead the human interface revolution. We emphasized being a step ahead in achieving important industry inflexion points, as demonstrated by our best-in-class Fingerprint authentication solutions and the launch of an expanded family of TDDI solutions. We highlighted our continued focus on growth, with multiple opportunities per device leveraging our broad product portfolio, as well as diversification into new markets, such as auto, wearables and PC peripherals. And, consistent with our company's DNA, we underscored our continued efforts to pioneer the evolution of the human interface by introducing new modalities and improving the user experience through enhancements like force sensing. Technology leadership is a fundamental underpinning of our vision and we continue to invest to ensure our position as a leader in human interface and to capitalize on emerging growth opportunities. Turning to our Biometrics division, we're pleased to announce a number of new high-volume design wins that are resulting in greater unit shipments than we would typically see for products within their respective market categories. To start, Samsung expanded its use of our Fingerprint sensors in several new smartphones, including the A5, the A7, the A8 and the A9. This complements our shipments to Samsung's flagship Galaxy S and Galaxy Note products. Additionally, Lenovo selected our Natural ID one-touch area fingerprint sensor for its innovative ThinkPad X1 tablet. This exciting new product was announced at CES and also uses our touchpad solution. Moreover, the exciting new Lenovo P50 and P70 ThinkPads feature our area fingerprint sensors. These are the first notebook computers launched by Lenovo with area sensors, providing end users with differentiated, highly secure and extremely convenient biometrics. We also worked with Intel and Lenovo on a new enterprise-level, secure fingerprint authentication for our next-generation Lenovo ThinkPad. Synaptics' Natural ID area touch fingerprint solution is supported by Intel Authenticate, a hardware-enhanced, multifactor authentication solution that strengthens identity protection on the PC. On the ecosystem and payment side, we announced a new agreement with Nok Nok Labs to reduce the complexity of FIDO certification for our customers. Additionally, we are engaged with multiple Chinese OEMs to integrate Alipay and IFAA authenticators with fingerprint support to enable local biometric mobile payment solutions. Furthering our Fingerprint roadmap, this quarter we announced the sampling of our Natural ID Fingerprint Authentication Technology for imaging through greater than 200 microns of cover glass, addressing the option of button-free industrial designs for smartphones. This technology is our second-generation under glass biometric solution. This versatile new fingerprint sensor solution is designed to operate through glass buttons as well as thicker cover glass, and is a significant advancement and critical next step to putting capacitive fingerprint sensors under the smartphone glass. We demonstrated this new technology at our Analyst and Investor meeting and again at CES. The company's first-generation under glass button solution, up to 100-micron thick glass, is already available today for mass production. Synaptics now has a broad portfolio of Fingerprint solutions to fulfill a wide range of customer needs, from form factor and industrial design requirements to enterprise grade high security offerings, we extended mobile payment standards compatibility. We are primed to gain traction in the China market, having put in place local engineering teams and dedicated R&D resources, bolstering our abilities to deliver a total module and software solution, and developing an ecosystem of local independent hardware vendors. Indicative of our expanded capabilities and progress in the region, we expect to announce an increasing number of design wins in mainstream phones from leading China OEMs over the course of the year. Moving to the discussion of our TDDI solutions, the market opportunity is now firmly upon us, following the announcements of the expansion of our product portfolio with three new TouchView solutions. These three new TDDI products add to the previously announced TD4300, and support smartphone resolutions from HD to full HD to WQHD. All four solutions are now sampling to leading LCD manufacturers, and ramping into full production. We have multiple design wins for each of the four TDDI solutions at global LCMs, including AUO, BOE, EBBG, Innolux, LG Display, Sharp, and Kenma (8:44). This design momentum with our LCMs has positioned us well to ramp revenue strongly in the second half of our fiscal year with multiple leading smartphone OEMs in China, Korea and Taiwan. TDDI display integration technology marks an inflection point in smartphone architectures that delivers lower overall system cost, simplifies the supply chain, and enables thinner devices, brighter displays and borderless designs. Underlining this fact, during CES, we were pleased to announce that our TD4300 TDDI solution won two separate categories in the 8th Annual Mobile Excellence Awards, including Best Mobile Innovator and Best Technology Breakthrough. As we continue to innovate our TDDI solutions, we believe that ClearForce will prove to be a significant differentiator for Synaptics. There is clear industry momentum around adding force touch to the smartphone user experience, and we believe that Synaptics is well positioned to capitalize on this momentum with our TouchView TDDI solution that features ClearForce technology. To wrap up on TouchView TDDI, we are very pleased that our four solutions we announced at Analyst and Investor Day are now ramping with a healthy pipeline of design wins at multiple top tier LCMs and OEMs. Synaptics has the strongest TDDI portfolio in the industry, and we believe this is a major competitive advantage as it represents the architectural revolution of smartphones. Turning to our traditional touch products, we announced that Google has adopted the Synaptics ClearPad Series 3 family of touch controller solutions to power its newest flagship smartphones, the Nexus 5X by LG and the Nexus 6P by Huawei. As mentioned last quarter, we leveraged our IP strength (10:33) in force-sensing technology from opaque PC TouchPads for adoption on smartphones, with the introduction of ClearForce. ClearForce has been attracting a lot of attention, as OEMs seek to differentiate phones, tablets and automobiles with exciting new force-gesturing applications. And we believe that force will become a checkbox item for OEMs. Synaptics is working hard to meet these market needs. We have already achieved double-digit design wins and serious interest in many more projects. And we expect to ship a meaningful number of ClearForce solutions to the market in the near future. We also announced a sampling of our low-power tiny footprint ClearPad S1423 touch controller solution for wearables and small-screen applications including smart watches, fitness trackers and touch-enabled appliances such as printers. Several leading OEMs are shipping Synaptics touch solutions today, including Fossil, TAG Heuer, LG, Huawei and others. On the notebook side, while there continues to be uncertainty in the PC market, we are starting to see some signs of near-term stability, and two-in-one formats continue to be a bright spot. Additional activity during the quarter included HP selecting our ClickPad solution for its new Spectre x360 G2 model, and our TouchPad, TouchStyk and fingerprint sensors for three models of HP's EliteBook 800 family. Razer also selected our ClickPad for its Blade Stealth Ultrabook. At CES, we also showed some new technology showcasing our leading technology innovations. Automotive is a major opportunity for Synaptics. We are generating display driver revenue from automotive today and in our CES booth we highlighted numerous concepts for the future with demos including heads up displays, haptics, force sensing, hover sensing and touch and fingerprint biometrics on the steering wheel and center console controls. During the quarter we announced a broader entry into the automotive market with a comprehensive and dedicated portfolio of vehicle-specific solutions. Auto manufacturers are gravitating toward Synaptics as the expert in human interface, as our industry-leading touch controllers, display drivers and biometric sensors are ideal for the automotive industry. We expect that our solutions will be implemented in numerous locations throughout the vehicle. In another CES demo we showcased touch control for very large area applications such as office, home and car windows where we demonstrated a large window that transitions from transparent to opaque, providing dynamic privacy. It's this sort of innovation that keeps Synaptics at the forefront of human interface technology. Before I turn the call over to Wajid, I think it's worth noting that despite the current weakness in our DDIC business, all remaining growth cylinders are in place and benefiting from strength and breadth of our product portfolio. What this means is that our Fingerprint, TDDI and Touch businesses remain very strong as we have executed on filling out our roadmaps for our Fingerprint and TDDI solutions, as well as advancing our touch controllers and TouchPads with the latest technologies and innovations. Synaptics has a long history of operating within dynamic market environments, and we remain extremely confident in our position as a leader of human interface. We are executing on the growth strategy that we've been laying out for you over the course of the year, and believe our continued technology leadership and the strength and scale of our business will enable us to maintain healthy growth and profitability. With that I'll now turn it over to Wajid.
Wajid Ali - Chief Financial Officer & Senior Vice President: Thanks, Rick. Revenue for the December quarter was $471 million, and while below the midpoint of our guidance range, represents record second quarter revenue. Year-over-year, December quarter revenue increased 1.5% and sequentially was essentially flat. During the quarter we had four customers above the 10% threshold. Revenue mix from mobile and PC products was approximately 87% and 13%, respectively. Revenue from mobile products was up 2% compared with the year ago quarter, but down 1% sequentially. Revenue from PC products was down 4% year-over-year and up 8% sequentially. Non-GAAP gross margin of 38.2% was slightly above the midpoint of our guidance range, and primarily reflects overall product mix, and represents a year-over-year improvement of 230 basis points. Non-GAAP operating expenses came in better than expected at $106 million, down $3.2 million from the preceding quarter. GAAP operating expenses in the December quarter were $119.9 million, which includes share-based compensation of $13.6 million, net acquisition-related costs of $0.3 million, consisting of intangibles amortization net-of-change and contingent consideration. Our non-GAAP tax rate was 17% in the December quarter, while our GAAP tax rate was 21.3%. Non-GAAP net income for the December quarter was also a record for a second quarter at $60.3 million, or $1.60 per diluted share – a 9.6% increase year-over-year as compared with $55.5 million or $1.46 per diluted share in the second quarter of fiscal 2015. Turning to our balance sheet, we ended the quarter with $372 million of cash, an increase of $97 million from the preceding quarter. Receivables at the end of December were $337 million, and DSOs were 64 days, while inventories were $137 million and inventory turns were 8.5 – all consistent with our expectations. Cash flow from operations was $95 million for the quarter. Capital expenditures for the quarter were $5.2 million and depreciation was $7.6 million. Now I will make a few comments regarding our quarterly outlook. Based on our backlog of approximately $139 million entering the March quarter, subsequent bookings, customer forecasts, product sell-in and sell-through timing patterns, as well as expected product mix, we anticipate revenue for the March quarter to be in the range of $430 million to $470 million. We expect the revenue mix from mobile and PC products to be approximately 90% and 10%, respectively. Taking into account our overall revenue mix and reflecting the strength of our product platform, we expect non-GAAP gross margin to continue to improve for the March quarter, to approximately 38% to 40%. We expect non-GAAP operating expenses in the March quarter to remain flat, plus-or-minus 100 basis points from the December quarter. We anticipate the FAS 123(R) charge in the third quarter to be in the range of $14.5 million to $15 million. GAAP expenses will also include non-cash charges of $19 million related to intangibles amortization, of which approximately $14 million will be reflected in cost of sales. We anticipate our non-GAAP long-term cash-based tax rate for fiscal 2016 to remain in the range of 16% to 18%. Non-GAAP net income per diluted share for the March quarter is anticipated to be in the range of $1.35 to $1.65 per share. As Rick mentioned, based on the turbulence in the macroeconomic environment and the impact on customer forecasts, we have revised our anticipated revenue growth for the fiscal year to be in the range of 9% to 11%. We expect our gross margins to strengthen over the balance of the fiscal year and are projecting non-GAAP net income per diluted share for fiscal 2016 to be in the range of $6.20 to $6.60. These assumptions imply solid top- and bottom-line growth and strong operating leverage on the sequential basis from Q3 to Q4, based on the expected ramp of our Fingerprint and TDDI product solutions. In closing, with our broad product portfolio and customer base, we believe we are well positioned to weather the turbulence in our end markets, and continue to expect to achieve record revenue and record net income per share in fiscal 2016. With that, we will now turn the call over to the operator to start the Q&A session. Operator?
Operator: Thank you. We'll now pause for just a moment to allow everyone an opportunity to signal for questions. So the first question comes from Rajvindra Gill from Needham & Co. Please go ahead.
Rajvindra S. Gill - Needham & Co. LLC: Yes, thank you. I was wondering if you could talk a little bit about the revenue drivers in the March quarter by business line, and what are you seeing by each product line?
Wajid Ali - Chief Financial Officer & Senior Vice President: Sure. Hi, Raj. So like we said in our prepared remarks, we expect the mix of mobile products to increase sequentially from 87% to 90% of our total revenues, and for our PC products to effectively decline sequentially quarter-over-quarter, both on a percentage basis as well as on a dollar basis. Now, within the mobile products, we've got a significant drop in our DDIC product line. And we expect to see growth in both our Fingerprint products as well as our core touch business. And our core touch business is primarily going to be driven by both the strength in our small discrete products as well as initial ramps of TDDI products during the month of March. So that's kind of some color on how we see it by product line for the March quarter.
Rajvindra S. Gill - Needham & Co. LLC: And as a follow-up, you know the fiscal year 2016 guidance of 9% to 11%, just so let's say I have my math correct. On an apples-to-apples basis, where I include $200 million of extra revenue for Renesas in the September 2014, or fiscal year, Q1 2015 quarter, that basically implies revenue to be down 1% or 2% year-over-year if I, again, add the extra $200 million or so of Renesas in fiscal year Q1 2015. So, apples-to-apples, it seems like revenue will actually be down 1% to 2%. Is that correct?
Wajid Ali - Chief Financial Officer & Senior Vice President: Well, it's probably not fair to say that the 9% to 11% year-to-year growth is completely organic. But I think it's a little bit unfair to say that the core business has declined. We've got a lot of product integration that's happening between RSP and the core business. And so we've got second generation of display driver products as well as four new TDDI products that Rick talked about. So I think when you combine the products, I think it's a little bit unfair to say that the core business declined year-over-year. I do agree, there was a bit of a sub-year impact that's positively impacting the 9% to 11%. But it's not – I don't think it's black and white.
Rajvindra S. Gill - Needham & Co. LLC: Okay. And one follow-up question if I can, and then I'll leave it up. The mobile product revenue of $407 million, can you give a little bit of color in terms of the breakout of Fingerprint and Renesas?
Wajid Ali - Chief Financial Officer & Senior Vice President: Yeah, I mean, that's something that we don't break out historically, so that's something that I wouldn't be able to break out for this quarter.
Rajvindra S. Gill - Needham & Co. LLC: Thanks.
Operator: The next question comes from Kevin Cassidy from Stifel. Please go ahead.
Kevin Cassidy - Stifel, Nicolaus & Co., Inc.: Hi. Thanks for taking my question. I guess as you're looking at the TDDI, are you also winning just DDIC designs, discrete DDIC, in China?
Richard A. Bergman - President, Chief Executive Officer & Director: Yeah, thanks, Kevin. We talked about discrete DDIC being an opportunity for us. And you're correct, yes, we are. Certainly, what TDDI has helped us, we are by far the clear industry leader. And as we have to call it, new customer engagements now, with some of the Asian LCMs. TDDI is actually a big door opener for us. We get in there and work with them on doing end-sell. And suddenly they also want to use our discrete DDIC chips on some high-resolution or mainstream type of products. So, to answer your question, absolutely we're getting design wins with some of the Chinese or Taiwanese LCMs that we previously haven't had. Earlier during the prepared remarks you heard me rattle off a bunch of LCMs. In some cases those are brand new customers for us that we haven't had previously. And now they're using our TDDI products. But back to your original question, that gives us some opportunity for DDICs as well.
Kevin Cassidy - Stifel, Nicolaus & Co., Inc.: Okay. Great. And maybe if you could just talk a little bit about that competition in TDDI. You've been working on it for a lot of years and it seems you should have a significant advantage. But could you talk about where the competition is and the differences between your product and theirs?
Richard A. Bergman - President, Chief Executive Officer & Director: Sure. So, call it more broadly, for a year we've been shipping TDDI products. And I think we've been pretty open. The first couple that were call it classic Synaptics design, had limitations that kept the growth there constrained, which drove the whole reason for us doing the acquisition of RSP 15 months ago. And since that time, frankly, I feel like we've been going like gangbusters. We have kind of the quad of parts that I talked about at Analyst Day and more recently in our prepared remarks, which gives us a big lead over competition. We're – as Wajid said, we're moving into the MP stage in which we'll be shipping for revenue on all four parts by the end of this fiscal quarter. A big lead there in terms of the number of parts, the quality of the parts, the technology in the parts. And of course we're not stopping with this quad of devices. We're following that up, filling in some of the gaps in our product line as quick as we can. So we'll continue to add new members to that family. In terms of other competitors out there, yeah, there's a couple others out there sampling one or two type of devices. We haven't yet seen a clear cut competitor in the marketplace in terms of having the breadth that we do. But everyone in the industry sees what's happening. This is an inflection point and they're trying to scramble and trying to match our capabilities for the same reason we thought the RSP acquisition made a heck of a lot of sense. It's really hard to do touch. It's really hard to do DDIC. I think some of those competitors are starting to run into those walls, which is slowing them down. So we're excited about what TDDI can do for the company. It's right on track with our expectations that we articulated in July and more recently in October and November. You know unfortunately we've kind of had this temporary market glitch on the discrete DDICs that's covering up a lot of that great activity.
Kevin Cassidy - Stifel, Nicolaus & Co., Inc.: Great. Thank you for all that color.
Operator: The next question comes from Charlie Anderson from Dougherty & Company. Please go ahead.
Charlie Lowell Anderson - Dougherty & Co. LLC: Yeah. Thanks for taking my questions. Wajid, could you give the percentages of the 10% customers?
Wajid Ali - Chief Financial Officer & Senior Vice President: Yes, I can. Charlie, I just don't have it in front of me right now.
Richard A. Bergman - President, Chief Executive Officer & Director: Charlie, do you have another question. He's, he's... Maybe I can answer it while he's hunting and searching.
Charlie Lowell Anderson - Dougherty & Co. LLC: That works. So, Rick, you know, it's interesting that you mentioned at the Analyst Day and at CES that you had a much improved Fingerprint sensor, and you mentioned some design wins. I wonder to what degree – maybe if I X out Samsung, you know that's your largest customer. And when I think about the China market where we've seen a lot of designs in the industry, to what degree is that in your guidance? Is that more of a back half of calendar 2016 that you would see that ramp? And then I also wonder to what degree ClearForce is in the guidance at all for the fiscal year – if that's also more of a back half of calendar 2016 event for you guys.
Richard A. Bergman - President, Chief Executive Officer & Director: Okay. Yeah thanks, Charlie. So let's start off with the Fingerprint. So I often get this comment, "Well, if we X off Samsung..." So as you heard, there's a lot of good news with Samsung, and they're by far the number one Android smartphone manufacturer. We all heard their results earlier today. And we continue to expand our success there. So we have a very strong, strong position with the number one Android smartphone manufacturer in the world. And then there's also Lenovo that I talked about as well. So there's certainly a China OEM likewise. And we also rattled off, okay, we got a tablet and a few notebooks, which to me is very exciting. This is the ThinkPad product line. In a prior world, you won ThinkPad and that made you, because everybody recognizes the quality and capability that's encompassed in that ThinkPad product line. And, of course, we have some Lenovo phones as well. Kind of a long-winded introduction. You'll see, certainly, we have built in some success with other China manufacturers in our fiscal year 2016 guidance. We expect to see a number of launches here in the spring timeframe of calendar 2016, which obviously will impact more fiscal Q4 at this juncture, but starting to roll out in that timeframe. Let's see, then you asked about ClearForce. ClearForce is a little bit different. We'll start to see our first design wins maybe a little sooner. I'm always a little cautious, because we're working hand-in-hand, whether it's Fingerprint or our display products, with the OEMs. And suddenly, for reasons totally outside of what we're doing, maybe they change apps processors or decide to change their physical ID. Suddenly a schedule moves a couple months. But nevertheless, think of it more in the spring timeframe, and then that actually will become more and more common. As I mentioned, we could see it quickly become a check-off item, because we're building that capability into our TDDI devices. And once that happens you have a mainstream solution. It's not quite for free, but you get Force for a very low premium. And it's a great differentiator for us. And actually it's a great win for the end users when we're able to fully let that capability be unleashed in the second half of the calendar year.
Charlie Lowell Anderson - Dougherty & Co. LLC: Perfect. And then, Wajid, did you come up with the answer?
Wajid Ali - Chief Financial Officer & Senior Vice President: Yeah. I just found it. It was staring right at me. So yeah, the answer is 12% to 23%. Those were the top four customers. The range was as low as 12% to 23%.
Charlie Lowell Anderson - Dougherty & Co. LLC: Perfect. And then if I could just sneak in a follow-up, the guidance for the full year, it looks to me as if it might potentially assume OpEx down into the June quarter and gross margin up a little bit. I wonder if you could speak to that.
Wajid Ali - Chief Financial Officer & Senior Vice President: Yeah. I mean we're expecting our gross margins in the back half of the year to improve versus the first half of the year. Like I talked about in some of the prepared remarks, we are expecting to see improvements in TDDI revenue and in Fingerprint revenue back half versus the first half. So gross margins will – are expected to improve. You can kind of see that right from the March guidance as well as from the June guidance. As well as – as far as operating expenses are concerned, we're calling them flat plus or minus 100 basis points for the March quarter. And for the June quarter we're expecting it to stay sequentially flat to the March quarter as well. So you've got that right.
Charlie Lowell Anderson - Dougherty & Co. LLC: Great. Thanks so much.
Operator: The next question comes from Rob Stone from Cowen & Company. Please go ahead.
Robert Stone - Cowen & Co. LLC: Hi, guys. Thanks for taking my question. Wajid, I just wanted to follow up on your OpEx commentary. When you say flat, are you speaking in percentage terms or in absolute dollars? Because revenue is going to be...
Wajid Ali - Chief Financial Officer & Senior Vice President: Absolute dollars. Absolute dollars.
Robert Stone - Cowen & Co. LLC: Okay...
Wajid Ali - Chief Financial Officer & Senior Vice President: Yeah. So we're expecting March operating expenses in absolute dollars to be sequentially flat, plus or minus the 100 basis points in fiscal Q3, and then flat in dollars for the June quarter to the March quarter, plus or minus 100 basis points. So that's the range that we're looking at.
Robert Stone - Cowen & Co. LLC: Okay. A question for Rick, on the Fingerprint sensors, when might you see the gen two under-glass solution, which I guess is sampling now? When do you think that could be shipping for revenue?
Richard A. Bergman - President, Chief Executive Officer & Director: That particular product will be a second half of the calendar year. You've got to understand when you move under glass, we're changing a bit of the paradigm in the industry. So that means we have to work with the module manufacturers to either do recessed glass or build the glass buttons. And then of course work with the OEMs and how that impacts their industrial design. So that takes a little longer. You saw samples of the part in November. But realistically, we'd see mass production in the second half of the year. The phones that I talked about launching in the spring would be using more of our current, what we'd call our current generation products, Viber or Metallica , which we've had samples on for a number of months.
Robert Stone - Cowen & Co. LLC: So do you expect to see some – You mention a number of Fingerprint sensor design wins shipping through the end of fiscal 2016. Do you expect some of those will include the first-gen under glass?
Richard A. Bergman - President, Chief Executive Officer & Director: Probably not. I would expect to see those use more of the classic overcoat materials that are in place today. 100-micron glass is interesting because of the cosmetic view but it certainly comes with some limitations, as well. If you just think of how thin 100 microns actually is; very, very thin, so obviously it makes it hard to handle. And obviously you want a high-quality solution out. That being said, some of the glass manufacturers are okay with doing that. But it certainly comes with some complexity and some cost. Hence the whole reason we did Denali (34:25), our second-generation process, was to take away some of those limitations. And that's why we're seeing the interest in that product.
Robert Stone - Cowen & Co. LLC: Okay. And then it sounds like the June quarter is going to be the first quarter where you'll be shipping volume TDDI for all three months of the quarter. Can you give us a sense roughly of how much that might contribute to revenue overall in the quarter.
Richard A. Bergman - President, Chief Executive Officer & Director: Well, I don't want to peg it to a particular number, given that we're in the early ramp stage. And kind of for the same reasons I mentioned to Charlie is, well, all you need is one OEM or a couple OEMs to slide things around a little bit and then the number's off. But previously, we've talked about what makes a dent in our financials. And clearly, it better be over a percent or a couple percent for us to be touting it as a major impact to our business. So we're real excited about what TDDI can do. And again, I feel like we've made great progress over the last six months on Fingerprint and TDDI. And because of this, call it a glitch in the market for high-end smartphones right now, this quarter or next quarter maybe, it's covering up some of that great work. But the reality is, our product lines are very strong, and we're right on path with those two pillars of growth that we've been talking about for at least a year, if not longer.
Robert Stone - Cowen & Co. LLC: Do you have any visibility on the next cycle for discrete DDICs?
Richard A. Bergman - President, Chief Executive Officer & Director: Next cycle in terms of, what do you mean?
Robert Stone - Cowen & Co. LLC: Well, your commentary suggests that your discrete DDIC business is weak in the second half of this fiscal year. But you've talked about a few things that are likely to ramp in the second half of the calendar year. I'm just wondering what your midterm outlook is for discrete DDICs.
Richard A. Bergman - President, Chief Executive Officer & Director: So, the second half obviously we've got to be careful about. We kind of already have moved into our fiscal Q4s. I don't want to start guiding our – the second half of the calendar year. But there's obviously seasonality, certain customer cycles and so on that would suggest our DDIC business. It's not a share loss or anything, as I'm sure you understand. It's the marketing conditions out there that have received a lot of publicity the last week. While a lot of smarter people can make guesses on what's going to happen in the second half of that the year rather than me. But nevertheless, with the seasonality and normal customer cycles we would expect a very nice return to what we've been enjoying with DDICs over the past six or eight quarters.
Robert Stone - Cowen & Co. LLC: Great. Thanks very much.
Richard A. Bergman - President, Chief Executive Officer & Director: Thanks, Rob.
Operator: The next question comes from Ambrish Srivastava from BMO. Please go ahead. Mr. Srivastava, your line is now open.
Ambrish Srivastava - BMO Capital Markets (United States): Hi. Sorry about that. Can you hear me now? Hello?
Operator: Pardon the interruption. It looks like Mr. Bergman and Mr. Ali's line has just dropped. Ms. Jarman, are you there?
Jennifer Jarman - Director, The Blueshirt Group LLC: I'm here. Hopefully they're trying to dial back in as we speak. So, stand tight, everybody.
Operator: Yes. Let's give them a minute to dial back in.
Ambrish Srivastava - BMO Capital Markets (United States): Sure.
Jennifer Jarman - Director, The Blueshirt Group LLC: Yes, Adam, they are working on dialing back in. So, everyone please hold. Are you back?
Operator: I think they're back.
Richard A. Bergman - President, Chief Executive Officer & Director: Yeah, Jennifer.
Jennifer Jarman - Director, The Blueshirt Group LLC: Okay.
Wajid Ali - Chief Financial Officer & Senior Vice President: Jennifer, it's Rick and Wajid. We're back.
Jennifer Jarman - Director, The Blueshirt Group LLC: Okay.
Operator: So...
Ambrish Srivastava - BMO Capital Markets (United States): Hey, guys. This is Ambrish.
Wajid Ali - Chief Financial Officer & Senior Vice President: Hi, Ambrish.
Ambrish Srivastava - BMO Capital Markets (United States): Hey. I didn't even start asking my questions and you guys dropped off. It's not going to be that hard.
Wajid Ali - Chief Financial Officer & Senior Vice President: Yeah. We're sorry about that. Please go ahead.
Ambrish Srivastava - BMO Capital Markets (United States): Okay. My first question was, and I apologize if it has been covered. Could you please comment on the health of the end market? You know we've all seen, watched both Apple and Samsung's numbers and the guide. So outside of those two, and we also see Xiaomi has missed their numbers for the full year. So can you help us understand what's going on besides those two guys? And then my quick follow-up is, Wajid, if I look at the – in the context of your backlog coverage and your assumptions for the end market, what gives you the confidence and should give investors the confidence that the full-year number now will not see any of the guide down? I mean I know it can always happen. But just help us understand your confidence around that. Thank you.
Wajid Ali - Chief Financial Officer & Senior Vice President: Yeah. Sure. I'll let Rick pick up the question on markets and then I'll follow up with the backlog coverage question.
Richard A. Bergman - President, Chief Executive Officer & Director: Okay. Thank you, Ambrish. So yes, there's certainly been no shortage of news around our primary market, the mobile space, over the past couple of weeks. And I think what has happened to a number of us is the forecast changed fairly substantially towards the end of the last calendar year. And we've addressed our plans. And what we have seen is weakness. I would say specifically in the higher end of the smartphone marketplace. Of course there's always seasonality that occurs this time of year. But I think it caught a number of us off guard about the severity of that. And that's now built into what we have for our Q3 and then additional weakness in Q4 as well. So however, as I mentioned earlier in a question from Rob, we're certainly hopeful that the market comes roaring back, and the customers that we serve in the market certainly come roaring back as there continues to be tremendous innovation in the marketplace. And over kind of this few-month period that we saw, customers are indicating some exciting plans for the balance of the calendar year.
Wajid Ali - Chief Financial Officer & Senior Vice President: And, Ambrish, related to your question on the backlog and the confidence on the guide. So you know the backlog coming into the March quarter was a little bit lower than usual. But bookings in the month of January have been in line with expectations. I think that the one thing that caught us a little bit by surprise was the incremental softness in the PC market. Now, obviously that's helped us improve our gross margins for the March quarter. But that's kind of how we're thinking about Q3. The PC market a little bit down, mobile business a little bit up. We've got good backlog coming in, and we've had reasonable bookings during the month of January that give us confidence on fiscal Q3. As far as fiscal Q4 is concerned, we've got reasonable visibility into many of our customers' forecasts. And we've also got good visibility on our TDDI product design wins as well as reasonable visibility on our Fingerprint design wins. Now obviously, the two latter ones are helping boost up our gross margins more than we saw in the first half of the year. So that's positive. And we're counterbalancing that, I think quite well, by making the right structural changes within our operating expenses so that we can weather any type of volatility there is, either in fiscal Q3 or in fiscal Q4. So that's really what gives us confidence on the balance of the year. And that's really the reason why we provided EPS guidance for the full year, so that we could portray that.
Richard A. Bergman - President, Chief Executive Officer & Director: Yeah, Ambrish...
Ambrish Srivastava - BMO Capital Markets (United States): Okay, thank you...
Richard A. Bergman - President, Chief Executive Officer & Director: Sorry, just to add a little bit more on. I know you recently started tracking us, maybe a year ago. But a couple years ago, I remember back in the day, we had lost an important touch socket roughly this time of year. And the company kept just rolling along. Our financial performance was good, and we stayed very profitable and so forth, and continued to grow after a brief pause. I can't help but see this situation as quite analogous. Yes there's been this blip in the market that we got to fight through but if you kind of do the numbers, you'll see our fiscal Q4 is just fine and Synaptics is making good operating profits and we feel we're positioned well. And it sets us up for a very good fiscal 2017 as well, based on, back to the pillars of strength that I talked around Fingerprint and TDDI.
Ambrish Srivastava - BMO Capital Markets (United States): Thank you. Very helpful, gentleman.
Operator: Okay. The next question comes from Paul Coster from JPMorgan. Please go ahead.
Paul Coster - JPMorgan Securities LLC: Yeah, thanks. Second question. As we see this next-generation TDDI chipset being adopted Rick, what kind of brands and what kind of handsets are we going to see it deployed on? Is it going to be flagships or is it through the range?
Richard A. Bergman - President, Chief Executive Officer & Director: That's the real exciting news there. We're getting some top-tier brands for OEMs. Of course, at this juncture we can't mention those names based on our policies and their policies. However, you'll actually see both flagships as well as mainstream phones. As I mentioned, we have that breadth of resolutions and we have multiple LCMs, multiple OEMs per part. So if we have an HD device you can imagine that's more mainstream. And if we have a QHD device, you can imagine that's more of the flagship type of category. So to answer your question, all of the above.
Paul Coster - JPMorgan Securities LLC: Okay. And then on the China side with Fingerprint, you sound confident that you're going to come back at that market pretty well. Is it through the OEMs? Or is it through the panel manufacturers? What's the go-to-market strategy? And what's the level of confidence?
Richard A. Bergman - President, Chief Executive Officer & Director: Sure. For China it's – you kind of have to have a triangle in place. There's of course ourselves and then there's the OEMs that drive a lot of the specs and the quality requirements, so on. And then typically you have an IHV, an independent hardware vendor that actually takes our sensor and makes it into a button or a module. So where we had a gap previously was in some ways that third category, the IHV. We had of course great OEM relationships because we've been shipping them touch products for quite some time, and now TDDI devices and Force and all that good stuff. But we didn't have all of our products in modules ready to roll at the IHVs. As we talked about during the Analyst Day, we kind of fixed that situation in the second half of calendar 2015. And now we're securing those design wins and they're going through the final qual process right now. And we hope to tell you about them in the spring timeframe.
Paul Coster - JPMorgan Securities LLC: Thank you.
Operator: The next question comes from Rajvindra Gill from Needham & Company. Please go ahead.
Rajvindra S. Gill - Needham & Co. LLC: Yeah. Thanks for the follow-up. Just the – I'm just trying to get a sense of the mobile products business because I think in the past you have given at least some color commentary on the Fingerprint, on the Renesas business, if I'm going back through the old transcripts, of how they've kind of trended. So, any color there would be helpful in terms of what Fingerprint is doing in the March quarter, what TDDI is doing. That would be helpful. Thanks.
Wajid Ali - Chief Financial Officer & Senior Vice President: So, Raj, it becomes a little bit more difficult on the RSP business because as I talked about earlier there's a lot of product integration that's happening. And so because of that product integration you know we've talked about the success we're expecting in TDDI, both for the March quarter and for the June quarter. So we're seeing positive trends there. Rick and I both talked about our DDIC business declining in the back half of the year. So that's the additional color. So really what's left over is our Fingerprint business. And our Fingerprint business, at least in the March quarter we're expecting to see material improvements sequentially. And we're also expecting to see improvements in our fiscal Q4. So that's really about the level of color I can provide at this time. But when you take a look at our gross margin profile, our gross margin profile, the March quarter versus the December quarter, the reason for the uptick is because of that positive product mix related to both Fingerprint and to TDDI, unfortunately offset by the weakness that we're seeing in DDIC that Rick talked about earlier. So...
Rajvindra S. Gill - Needham & Co. LLC: I appreciate that. On the DDIC is the weakness across the board both on Android and non-Android?
Wajid Ali - Chief Financial Officer & Senior Vice President: So I can't talk about particular customers but if I take a look at the first half of the year versus the back half of the year, our DDIC revenues are declining quite a bit. We're hoping that that picks up again in the latter part of the calendar year but at least for our fiscal year, we're seeing that decline in DDIC second half versus first half.
Richard A. Bergman - President, Chief Executive Officer & Director: But just to be really clear on the hints that we're giving here. This isn't due to the weakness of our product line or losing share or anything of that nature to somebody else. It's our customers forecasts that are driving this significantly lower outlook for the second half of the year than previously.
Rajvindra S. Gill - Needham & Co. LLC: All right. Got you. Thank you.
Operator: We have a follow-up question from Paul Coster from JPMorgan. Please go ahead.
Paul Coster - JPMorgan Securities LLC: Yeah. Rick, I'm so sorry to have to ask this but can you comment on the M&A stories that have been floating around?
Richard A. Bergman - President, Chief Executive Officer & Director: Well and Paul you can probably anticipate what my answer's going to be on the question in that particular area, so we're not going to comment on rumors or market speculation.
Paul Coster - JPMorgan Securities LLC: Well, let me rephrase it then. I mean in principle anything that creates shareholder value is that something the board would consider?
Richard A. Bergman - President, Chief Executive Officer & Director: Well Paul we had a form of that question back in October as well. And as a public company, the answer is at the end of the day it is our job to maximize shareholder value so we'll listen to any great ideas that can do that and evaluate them appropriately. But as a company as you can tell, we're excited about growing Synaptics so that continues to be job number one for myself and my team.
Paul Coster - JPMorgan Securities LLC: Okay, thank you.
Operator: The next question comes from Vijay Rakesh from Mizuho. Please go ahead.
Vijay R. Rakesh - Mizuho Securities USA, Inc.: Hi guys. I saw you mentioned some nice design wins on the TDDI side and Fingerprint coming through from China as you go through the year. As you exit, looking out at 2016, any thoughts on what the mix of force sensing and Fingerprint and TDDI would be?
Richard A. Bergman - President, Chief Executive Officer & Director: When you say mix, you mean revenue mix or...
Vijay R. Rakesh - Mizuho Securities USA, Inc.: Yeah...
Richard A. Bergman - President, Chief Executive Officer & Director: Can you narrow it down a bit?
Vijay R. Rakesh - Mizuho Securities USA, Inc.: As a mix of revenues, yeah.
Richard A. Bergman - President, Chief Executive Officer & Director: Between force sensing, TDDI and Fingerprint?
Vijay R. Rakesh - Mizuho Securities USA, Inc.: Yeah.
Richard A. Bergman - President, Chief Executive Officer & Director: Yeah, it's kind of hard to – We don't, at this point, split out those product lines. It would be really hard to call it, split out force sensing. As I indicated, that's a capability that we're actually building into our TDDI devices as well as our discrete Touch. So that will get mixed quite a bit. In terms of overall, where's TDDI going to be, we gave the market size for calendar 2016 as part of our Analyst Day deck. I believe it was 60 million or 70 million units. And we think we'll get the lion's share of that business in calendar 2016. So that gives you a generalized ball park. On Fingerprint, Wajid talked about the great growth that we're having this quarter and how that strength continues into fiscal Q4. And we would expect that to continue to roll forward as we get these new products and additional OEMs. In terms of percentage, unfortunately, we can't really throw something out there.
Vijay R. Rakesh - Mizuho Securities USA, Inc.: Got it. And when you look at the China market, obviously, you are throwing a lot of effort into it now. Would you expect Fingerprint and TDDI to pick up in China, or TDDI is smaller for later and maybe more Fingerprint in the second half?
Richard A. Bergman - President, Chief Executive Officer & Director: So China is a very important part of any of our plans for all of our product lines. As I mentioned, we have some unnamed OEM design wins, and clearly some of those are the Chinese OEMs. And likewise, as I said, you'll expect to see some product announcements on Fingerprint in the springtime, certainly from China or Asia area.
Vijay R. Rakesh - Mizuho Securities USA, Inc.: Thanks.
Operator: The next question comes from Osten Bernardez from Cross Research. Please go ahead.
Osten H. Bernardez - Cross Research LLC: Hey, good afternoon. Thanks for taking my questions. I just wanted to follow up with respect to DDIC, given what you're seeing in the market today, both from a broader macro perspective and from some of the higher end customers. What's your thoughts today on the longer term growth trajectory for DDIC versus what you were thinking not too long ago when you first acquired Renesas, at the, what I believe, is a mid-single growth rate long-term, 5 percentage or 6 percentage points. And now we're in a world where, obviously, smartphones are growing at a much slower pace. How should we be thinking about that?
Richard A. Bergman - President, Chief Executive Officer & Director: We haven't, called it, reset our expectations on DDIC. I presume you're talking about discrete DDIC and at this juncture I'd say the only call it rethinking that we've done we have some customers that are focused in that area. That will continue on and they're separate forecasts around their business but in general, if anything right now we're more optimistic about what TDDI is doing. And at some level it's certainly going to start cannibalizing the DDIC business and for us for the most part that's pretty good news because where we'd see that cannibalization frankly we don't have a huge amount of share to start with. So that's for the most part upside for us and so again, we're more encouraged about the adoption rate of TDDI than we were just three or six months ago when we first started sampling the parts based on all the LCM design wins and momentum that you heard me mention earlier in the prepared remarks.
Osten H. Bernardez - Cross Research LLC: And following on an earlier comment with respect to shareholder returns, was there – it looks like you did not repurchase any shares. I'm not sure. There wasn't any commentary. If not, why not? And then attached to that is what portion of your cash is in the U.S.?
Wajid Ali - Chief Financial Officer & Senior Vice President: Yeah. So, Osten, probably close to $150 million of cash is in the U.S. right now. We didn't buy back any shares. You're quite correct this quarter. The board had authorized an additional $273 million of share buybacks at the end of the prior quarter, at the end of Q1, to bring our cumulative authorization to $1 billion $50 million (55:44). And at our analyst day we talked about a number of pillars to our capital deployment strategy and share buybacks is one of those pillars. As a reminder we had purchased close to 5% of our outstanding shares back in August and so we've got to balance all the opportunities and the pillars in front of us while we're looking at our cash deployment strategy. So that's the reason we didn't buy back any shares in fiscal Q2.
Operator: There are no further questions. I would now like to turn the call back over to management for closing remarks.
Richard A. Bergman - President, Chief Executive Officer & Director: Thank you, everyone. It was a long call today even though we had a lot of news, a lot of changes in the marketplace. So thanks for everybody hanging in there and for those that I'll see in Barcelona I look forward to being able to talk or update you on the business and our products at that time. Otherwise we'll talk next quarter. Thank you very much.
Operator: Ladies and gentlemen, this concludes the conference call for today. We thank you for your participation. You may now disconnect your lines and have a great day.